Operator: Ladies and gentlemen, greetings, and welcome to the Definitive Healthcare Fourth Quarter 2022 Earnings Conference Call. At this time, all participant lines are in a listen only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce you to your host, Matt Ruderman, General Counsel. Please go ahead.
Matt Ruderman: Good afternoon and thank you for joining us today to review Definitive Healthcare's fourth quarter 2022 financial results. Joining me on the call today are Robert Musslewhite, CEO; Jason Krantz, Founder and Executive Chairman; and Rick Booth, CFO. During this call, we will make forward-looking statements, including, but not limited to, statements related to our market and future performance and growth opportunities, the benefits of our health care commercial intelligence solutions, our competitive position, customer behaviors, our financial guidance, our planned investments, and the anticipated impacts of global macroeconomic conditions on our business results and clients and on the health care industry generally. Any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the risk factors sections and elsewhere in our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in the earnings release that we have just posted to the Investor Relations portion of our website. Additionally, we will discuss non-GAAP financial measures on this conference call. Please refer to the tables in our earnings release on the Investor Relations portions of our website for a reconciliation of these measures to their most directly comparable GAAP financial measure. With that, I'd like to turn the call over to Robert.
Robert Musslewhite: Thanks Matt. I would like to thank all of you for joining us this afternoon to discuss Definitive Healthcare's fourth quarter results. On today's call, I will review our fourth quarter and full year results, offer some perspective on what we're seeing in the market, and highlight some of the key value drivers of Definitive Healthcare's differentiated data and platform, and then Jason will highlight some of our latest product innovations. We are pleased to have delivered strong fourth quarter results on both the top and bottom-line, with revenue and adjusted EBITDA both exceeding the high end of our guidance range. Our total revenue was $60.6 million, which represents 31% year-over-year growth and our adjusted EBITDA was $17.0 million, which translates into a 28% margin. For the full year 2022, total revenue was $222.7 million, which represents 34% year-over-year growth, and our adjusted EBITDA was $63.7 million, which translates into a 29% margin. Taken together, we delivered a Rule of 63 performance in 2022, which we believe highlights our powerful combination of growth and profitability. Before diving into the fourth quarter in more detail, I would like to take a moment to highlight some of our key accomplishments across 2022. I'm proud of our success in what became a difficult macroeconomic environment. Our mission is to transform data, analytics, and expertise into health care commercial intelligence and we made significant progress against each element of that mission in 2022, which will position the business for sustainable growth over time. We started off 2022 by expanding our analytics capabilities with the acquisition of Analytical Wizards, and then we released Passport Express six months later. I'm particularly proud of the Passport Express release because it integrated the analytics from Analytical Wizards with Definitive Healthcare's industry-leading proprietary data set. The Passport product line extends our reach into both treatment pathway analytics and commercial marketing optimization, while significantly increasing the value that we can provide to life science customers across their entire lifecycle from research and development to product launch and commercial optimization. In the middle of the year, we released the next generation of our expert identification solution, Monocl ExpertInsight 2.0, which added a number of significant capabilities to the platform and expanded our data set to include more than 13 million key opinion leaders. Perhaps most importantly, throughout the year, we continued to make significant investments in our data assets, increasing the breadth, depth, and uniqueness of our data, which we recently repackaged as the new Atlas Dataset. Jason will provide some more detail on the Atlas Dataset and other fourth quarter innovations in a bit. We accomplished all this in the midst of an economic backdrop that got progressively more challenging during the year. Conditions in the fourth quarter continued to exhibit what we saw in the third quarter with longer sales cycles, more stringent approval processes, and a sizable number of deferred purchasing decisions. Also, like in the third quarter, we saw this dynamic in both new logo and upsell activity and it remained more pronounced within the life sciences and provider markets. As we've discussed in the past, our commercial teams have been adapting to this new backdrop and those efforts are showing early signs of yielding benefits. We are particularly encouraged by the continued strength in demand generation. Our sales pipeline was at an all-time high entering January and we have seen meaningful growth across all stages of the pipeline and in each vertical market. The increasing interest in the Definitive Healthcare platform is a strong validation of how mission critical we are to the success of our customers' operations. We also kicked off 2023 with a more vertically-aligned go-to-market function, which will help us do a better job of understanding and responding to client needs. I've been impressed with the team's early efforts to develop more in-depth account plans in the sales or upsell process, ensuring we understand and enfranchise all the key decision-makers who can impact the decision to avoid delays late in the cycle. These global account plans also enable us to pursue larger, more strategic customer engagements, and we are seeing early success with this strategy, with one life sciences customer now accounting for nearly $3 million of cumulative ARR across all of our product lines. All of these improvements will help us function more effectively against the more challenging backdrop. Overall, we are pleased with what we achieved in 2022. We have continued to effectively grow and scale the business, exceeding $200 million in revenue and generating $54 million in free cash flow. We have continued to manage the business with a clear focus on maximizing our long-term success and value creation for customers and shareholders and we enter 2023 having made some key improvements across data, analytics, expertise, and with a commercial focus that will serve us well. As we turn our attention forward to 2023 and beyond, we expect to continue to have success in the market, as the Definitive Healthcare platform is increasingly seen as a must-have for any business looking to efficiently and effectively sell into the complex, fragmented $4 trillion US health care market. This is not easy to do in the best of times, and it is even harder when the economy is weaker. The good news is that our platform is purpose-built to deliver this outcome to clients. We enable meaningful improvements in sales productivity by combining our proprietary affiliation data with claims data, so customers can develop more granular sales territories, identify the right decision-makers, and develop sales pitches that are targeted and effective. I would note that this is becoming even more important as life sciences and other companies increasingly leverage digital channels as part of their sales efforts. We also help customers maximize their R&D investments by helping them accurately assess and size market opportunities as well as to identify the most important experts in the field to increase the likelihood of a successful product launch. Part of what makes the Definitive Healthcare platform is so powerful is its ability to take the vast amount of data we collect, ensure it's accurate with our proprietary data science capabilities and make it easily accessible to business users. In order to be truly useful to a customer, data has to be actionable, and we believe there is no other platform in the market that provides the breadth and depth of actionable intelligence that we do. To show why customers are choosing Definitive Healthcare to tackle some of their most pressing business challenges, I would like to highlight a few of our key wins from the fourth quarter. One of the world's largest and most renowned cancer treatment and research institutions purchased a multiyear enterprise subscription to inform their strategy for partnering with leading hospitals across the country. This client purchased subscriptions to HospitalView, PhysicianView, PhysicianGroupView, and our Atlas All-Payor Claims Dataset. A large biopharmaceutical company focused on the discovery, development and commercialization of RNA interference therapeutics purchased a multiyear enterprise subscription to our HospitalView and Atlas All-Payor Claims to design and execute a strategy for selling into integrated delivery networks. One of the world's largest cloud computing service providers purchased a subscription to our HospitalView product as they recently decided to enter the health care market after seeing a rise in data breach and ransom attacks in hospitals. As they look to build out a new sales and marketing team for health care, they chose to make Definitive Healthcare one of their first investments. Turning to upsell deals. The nation's oldest and largest association dedicated to fighting heart disease and stroke already use Definitive Healthcare Reference & Affiliation data to support their commercial efforts with hospitals and other facilities. In Q4, they added our Atlas All-Payor Claims product to monitor hospital heart failure, heart attack, and stroke encounters by the number of procedures at each facility. Armed with this information, the association can better educate these facilities on how to improve care for patients facing severe heart ailments. We also had a significant upsell deal at one of the nation's largest health insurance and service companies. We originally sold to the healthcare services business, which was using our PhysicianView and PhysicianGroupView products to map physicians to provider organizations. In the fourth quarter, we expanded our contract to cover the entire organization and added multiple new products, including HospitalView, SurgeryCenterView, ImagingCenterView, and ConnectedCareView. The organization also purchased our integration services to import our data into their internal data environments. At the world's largest private global pharmaceutical company, we had a six-figure expansion of Passport promotional analytics into two new therapy areas where we previously did not have relationships. And as a result, the combined Definitive Healthcare ARR across all product lines at this company is now in excess of $1 million. Finally, we more than doubled the size of our Monocl Expert Suite contract at one of the world's largest multinational pharmaceutical and biotechnology companies. This contract is now in excess of $1 million ARR, and our key opinion leader intelligence will be used by this company's entire global medical affairs team. Now, I would like to look ahead at 2023. From a macro perspective, we expect 2023 will be similar to what we saw in the second half of 2022. Our financial outlook does not anticipate an improvement in the selling, upselling or renewing environment, and Rick will cover this financial outlook in more detail later. That said, we are committed to focusing on the things we can control that will best position the company for the long-term. We will accelerate investment in our data and platform to increase the insights we can provide to customers. Over the past 12 years, we have created unique and highly differentiated data sets and combined them with incredibly sophisticated analytics and decades of health care industry expertise. Part of the power of our platform is our ability to quickly apply AI and sophisticated data science to our growing data set to create new solutions that solve more of our customers' business challenges. These investments are foundational to our long-term growth strategy and generate strong returns for us. We will build upon the success I mentioned earlier with our verticalization and global account team strategies. As we continue to invest in the capabilities of the Definitive Healthcare platform, the opportunities we have to deliver value to customers will only get bigger. We are at the early stages of a $10 billion-plus market opportunity and believe we can dramatically expand our wallet share with customers over time. Investing to capitalize on this land-and-expand opportunity will continue to be our primary focus. Finally, we will continue to prudently manage our cost structure to fund these growth initiatives while maintaining our attractive margin profile. We have built a highly scalable and efficient business model that is highly cash generative. Prioritizing investments and rigorously measuring the returns we generate from a dollar spent is an important part of our success. Our ability to invest in our long-term priorities in a more challenging environment increases our competitive moat and long-term growth opportunity. Now, I'd like to turn the call over to Jason to talk about recent product innovation highlights.
Jason Krantz: Thanks Robert. I'd like to start by sharing some exciting news about the Atlas Dataset, which we announced to the market on February 2nd. Composed of multiple data sets, including Atlas Reference & Affiliations data, Atlas All-Payor Claims data, Atlas prescription claims data, and Atlas expert data, the Atlas Dataset provides a longitudinal comprehensive and complete picture of the health care market. Over the 12 years since I founded Definitive Healthcare, we've been recognized as a leader in Reference & Affiliations data, providing a complete view of the US health care ecosystem and have continued to build upon that foundation with our investment in new data types and data science, helping clients gain unique intelligence on health care entities. And we're excited to now package up all that data that our clients know and love into the Atlas Dataset. With the Atlas Dataset, we're empowering customers to make strategic enterprise-wide data-driven decisions based on comprehensive up-to-date intelligence on the complex and broad health care ecosystem. Combining multiple data sets on more than 15 million health care experts and professionals and 300,000 health care organizations, the Atlas Dataset has multiple components, including Atlas Reference & Affiliations, which provides clients with unique visibility into the operations of and connections between health care providers and health care organizations. This data set spans more than 30 reference categories, including executive contact information, physical locations, care quality, technology infrastructure, and more. Secondly, Atlas All-Payor Claims, previously known as our ClaimsMx, product contains billions of de-identified patient-level data points that enable longitudinal analysis of health care activity across all sites of care. This data includes claims for facilities and physicians across all payers, including commercial, Medicare, Medicaid, and other federal programs. We recently expanded our Atlas All-Payor Claims coverage significantly, including double-digit increases in key areas such as rare disease, oncology, and chronic conditions. Thirdly, Atlas Prescription Claims formerly known as our ClaimsRx product, contains billions of all payer life cycle pharmacy and direct prescription claims so users can understand the volume of claims that are paid, rejected and reversed. When coupled with the broader Atlas Dataset, our claims products provide Definitive Healthcare customers with industry-leading intelligence on provider behavior, providers' affiliation and referral patterns, patient care, and the activities taking place within a facility. As a result, clients can more easily find underdiagnosed patients, gain deeper insight into longitudinal patient journeys, leverage more accurate data in AGOR analytics, and access more precise commercial targeting. Finally, Atlas Expert, which contains information on more than 13 million global key opinion leaders, scientific researchers and health care providers. The data set also includes millions of data points from publications, clinical trials, social media activity, and news outlets, so clients can get an accurate understanding of the scientific activity and key providers for virtually any therapy area or disease state. As part of the Atlas Dataset launch, not only did we significantly expand our coverage, but we also refined the methodology that we use to master payer and patient data, while implementing additional layers of data science to deliver more detailed and granular reporting and increased accuracy. Our plan is to continually expand and improve the Atlas Dataset by adding new data types as well as to continue to develop more sophisticated data science to help our customers instantly access the insight they need to drive the growth of their businesses. For example, just last week, our executive profiles crossed the 1 million threshold, thanks to the hard work from our data collection teams. Our in-depth industry-leading executive profiles cover executives and administrators at all levels of health care organizations. And when combined with our world-class Reference & Affiliations data, allows our customers to not only find the right executive target, but to deliver a message that hits that mark every time. This is just one example of Definitive Healthcare's innovation flywheel, which allows us to quickly and continuously build out new data sets, new analytics, and new functionality to drive more value for our customers and continue to sell more use cases across our clients' organizations. This results in a higher ROI and the ability for our customers to reach that ROI more quickly, which in this market environment is absolutely critical. The impact that we are having on our customers is highlighted in the results of an independent market and customer research study that we completed in the fourth quarter. At a summary level, the Atlas Dataset ranked first or second in every single one of the top 10 use cases for health care Reference & Affiliation data. This shows up more specifically as follows; within life sciences, Definitive Healthcare ranked first or second out of nine companies as the best option in multiple categories, including: comprehensive quality clinical and financial metrics, total addressable market analysis and identifying new physicians or health care organizations. In fact, biotech and medical device respondents ranked Definitive Healthcare as having the best intelligence to understand parent-child relationships by a 2:1 margin over the competition. Even more importantly, Definitive Healthcare users, which includes current and previous customers, ranked Definitive Healthcare as having the best intelligence to understand these relationships by a 3:1 margin over competing solutions. Finally, more than 90% of life science respondents said that the completeness, accuracy, and ease of accessing Reference & Affiliation data are the most important evaluation criteria of health care data and analytics providers, which, of course, plays right into our unique strengths. Looking forward, the same survey showed that there is still plenty of opportunity for Definitive Healthcare to grow our business as nearly half of the respondents said their organizations are spending too much time managing and matching data across data sets. This is a problem we can help them with. As you can tell, I'm tremendously excited about what we learned in this survey as it shows the tremendous need for health care commercial intelligence and that Definitive Healthcare is perceived as a leader in that market, putting us in a perfect position to take advantage of the opportunity. I'd now like to turn it over to our CFO, Rick Booth, to walk through Definitive Healthcare's financial performance in more detail.
Rick Booth: Thanks Jason. I'll start with a detailed review of our Q4 results before finishing with our guidance for Q1 and full year 2023. As always, in all my remarks, I will be discussing our results on a non-GAAP basis, unless otherwise noted. Our strong business model allowed us to deliver solid results in Q4, highlighted by strong revenue growth and profitability despite the continuing economic conditions. Highlights include 31% revenue growth compared to Q4 2021, 28% adjusted EBITDA margin, and a 24% unlevered free cash flow margin over the last 12 months, and revenue growth plus the trailing 12-month unlevered free cash flow margin was 55%, putting us well above the Rule of 40. Turning to our results in more detail. Revenue for the fourth quarter was $60.6 million, up 31% from prior year and 4% above the midpoint of our guidance. This performance was driven by strong organic innovation and execution. As in the fourth quarter, we demonstrated our deepening analytics capabilities by delivering some large projects for global pharmaceutical clients. Pro forma organic revenue growth was 21% in the quarter and 27% for the full year. We ended the quarter with 538 enterprise customers, which we define as customers with at least $100,000 in ARR. This was an increase of 121 enterprise customers or 29% year-over-year and an increase of 34 enterprise customers from the previous quarter. As a reminder, these customers represent the majority of our ARR and are a key focus of our go-to-market programs. Our total customer count, which includes smaller customers, was 3,047 at the end of Q4, up from 2,865 in Q4 of 2021. Overall, economic conditions continued to be challenging in Q4. Despite the continuing headwinds, we believe new business and expansion opportunities remain strong even if realization is slightly delayed in this environment. Gross profit was $53.4 million, up 31% from Q4 2021 and gross margin of 88.2% increased 31 basis points from Q4 2021 as our prior year investments in Prescription Claims data scaled. We invested in additional data sources earlier this year and we expect to see approximately 200 to 300 basis points of temporary gross margin compression for full year 2023 as these sources come online. Because two large data sources came online in January, the margin pressure is expected to be greatest in the first half of the year. Sales and marketing expense was $21.1 million, up 33% from Q4 2021. As a percentage of revenue, sales and marketing expense was 35% of revenue, up 44 basis points from Q4 2021. The year-over-year increase is a result of modest investment in our go-to-market organization, primarily focused on continued verticalization of our sales and marketing teams. Product development expense was $7.5 million, up 50% year-over-year. As a percentage of revenue, product development expense was 12% of revenue, up from 11% in Q4 2021. We believe that investing in our platform and using our existing data sets to launch or enhance multiple products is a highly effective and efficient way for us to increase the value we deliver to customers. Robert and Jason touched on some examples of these earlier and we expect to continue to invest in the multiple opportunities we have identified on our long-term product roadmap. G&A expense was $8.1 million, up 16% from Q4 2021. As a percentage of revenue, G&A expenses were 13% of revenue, down approximately 180 basis points from 15% in Q4 2021. We expect to see continued leverage from G&A, both because these costs are relatively fixed as well as due to ongoing efforts to lower administrative costs. Operating income was $16.3 million, up 33% from Q4 of 2021. As a percentage of revenue, operating income was 27% of revenue, up approximately 50 basis points versus Q4 2021. The year-over-year margin improvement was a result of favorable gross margin as noted as well as an approximately 180 basis point decline in G&A costs. These were partially offset by approximately 40 basis points of continued investment in sales and marketing and approximately 160 basis points of innovation investments in product and development. Adjusted EBITDA was $17 million, a 30% increase from Q4 2021. As a percentage of revenue, adjusted EBITDA was 28% of revenue, approximately the same as Q4 2021. As we move through 2023, we will continue to look for areas in which we can reallocate investments to optimize growth while delivering adjusted EBITDA margins consistent with the Q4 run rate despite the impact of gross margin pressures noted above. Net income in Q4 was $10.5 million or $0.07 per diluted share based on 154 million weighted average shares outstanding. Turning to cash flow. Definitive's high margins, upfront billing and low CapEx requirements provide substantial free cash flow generation. We focus on trailing 12-month cash flows due to seasonality. Operating cash flows were $35.6 million on a trailing 12-month basis, up 41% from $25.5 million in the comparable period a year ago. Unlevered free cash flow was $54.2 million on a trailing 12-month basis, down 2% from the comparable period a year ago. Unlevered free cash flow was 24% of revenue on a TTM basis, effectively converting 85% of our adjusted EBITDA of $63.7 million for the same period into cash. Like any SaaS company, when bookings growth slows, so does deferred revenue, which is the biggest driver of unlevered free cash flows. As growth rates stabilize and recover, so should unlevered free cash flow. On the balance sheet, we ended the quarter with $332 million in cash and short-term investments, with only $266 million of debt and with our strong profitability, we are well positioned to fund both organic and inorganic growth initiatives. Current revenue performance obligations of $183.5 million were up 18% year-over-year, and total revenue performance obligations were up 11% year-over-year. Deferred revenue of $99.9 million was up 19% year-over-year. You will note that cRPO and deferred revenue grew more slowly than revenue, and you saw that show up in unlevered free cash flow as I mentioned before. Moving now to guidance for Q1, we believe it's prudent to assume that current conditions extend through the first quarter as well. Assuming this is the case, in Q1, we would expect: total revenues of $56.5 million to $58.5 million for a growth rate between 13% and 17%. Adjusted operating income of $13.5 million to $14.5 million; adjusted EBITDA of $15 million to $16 million for a 27% adjusted EBITDA margin; and adjusted net income of $6.5 million to $7.5 million or $0.03 to $0.05 per diluted share on 154.5 million weighted average shares outstanding. For the full year 2023, we expect revenue of $249 million to $255 million for a growth rate of 12% to 15%. This assumes current conditions continue throughout 2023 and this growth will be almost entirely organic as we owned Analytical Wizards for all, but two months of the prior year, it will contribute less than 100 basis points to growth. As we move through 2023, we will keep a careful eye on costs and operating efficiency to ensure we drive growth in the most efficient way as possible. When we see revenue upside, we will try to reinvest it to deliver efficient growth while also ensuring that we continue to deliver attractive margins. Following this strategy, adjusted operating profit is expected to be between $61.5 million and $65.5 million; adjusted EBITDA is expected to be between $67 million and $71 million for a full year margin of 27% to 28%; and adjusted net income is expected to be between $30 million and $34 million, providing earnings per share of $0.19 to $0.23 on 155.5 weighted average shares outstanding. Within this guidance, the key expected cost drivers are the gross margin impact of the new data sources coming online early in the first quarter, the annualization of expenses associated with people hired in 2022, the impact of cost of living expenses on employee wages, and selective investment in the very highest growth priorities. We expect these costs will be partially offset by continued efficiencies in costs not directly associated with revenue growth. So, to summarize, 2022 was a solid year for Definitive Healthcare despite economic headwinds and uncertainty. We're well-positioned for the long-term because we've developed a clear leadership position in a large and attractive market that we believe will support high levels of predictable revenue growth, profitability, and capital efficiency. And with that, I'll hand it back to Robert for a few closing thoughts before we take questions.
Robert Musslewhite: Thanks Rick. Before opening the call for questions, I just wanted to share how proud I am of our employees and the culture and community they have created and continue to cultivate. It is a testament to them that we continue to receive important honors and recognition, including having been awarded the 2023 Best Places to Work in Boston Award from Built In, the Energage 2023 Top Workplaces Culture Excellence Award, the 2022 Stevie Award for Great Employers, and for the sixth consecutive year, the 2022 Top Place to Work by the Boston Globe. Another area of pride is our commitment to our community, where the volunteer work and generosity of our employees earned us recognition as a top charitable contributor in Massachusetts by the Boston Business Journal, and where last year, our employees had over 3,400 volunteer hours and we donated nearly $500,000 to charitable organizations. And to further our mission and action towards sustainability and transparency, we are proud to have joined the United Nations Global Compact, the largest corporate sustainability initiative in the world. As we look ahead to 2023, I expect our team to continue to do valuable work not only in their roles at Definitive Healthcare, but also in sustaining our strong culture and in making a difference outside the office and our communities. With that, we'll open the line for questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of David Grossman from Stifel. Please go ahead.
David Grossman: Thank you. Good afternoon. I know it's a really difficult environment to forecast anything right now, but as you obviously had to come up with guidance for 2023. So, as you think about the assumptions that you're making that underlie that guidance, where do you think are the areas where you could have the most variability, whether it be kind of positively or negatively relative to the assumptions that you're using?
Rick Booth: Well, we have an extremely predictable business model so we're very lucky in that. The new bookings is the most variable component. That's actually a little bit de-risked in the guidance that we've provided. And we expect that we'll see some uptick as we get into the second half of the year as the economy improves. But that's the widest variability that we have.
David Grossman: And I saw the deck that came out during the call. So, it looks like obviously, revenue retention went down consistent with the backdrop and everything you've been saying. So, as we think about 2023, should we think about retention, no improvement, meaning that the retention levels would look similar to 2022? Or should we expect to see some improvement in the back half of the year?
Robert Musslewhite: David, I think like -- David, can you hear me? It's Robert.
David Grossman: I can, yes.
Robert Musslewhite: Okay, great. From a math perspective, here's what we did. We basically looked ahead. We now have another quarter of information on how things went last year. And like Rick said, it looked a lot like Q3 last year. We don't have any reason to believe it's going to differ from the quarter we just saw and the quarter before that. So, we've assumed that, that environment is going to continue for the rest of this year. To Rick's point, there are things that can change across the year. If the macro environment improves, we would see better new sales and upsell. That would have some effect this year, obviously, but it will primarily have an impact on 2024 revenues because like Rick said, our business model is set up so that commercial performance in one year really does lock in commercial performance in the following year. You asked about retention. Retention can impact a year, obviously, if it were to really change, but our retention rates have been reasonably consistent year-over-year. Certainly, we see a little bit more, especially for small bio of late, where we've seen mostly financial distress cases that have popped up, and we try to work with them and try to keep them as much as we can, obviously. But sometimes, you just end up in a place where you can't get to an agreement on what that means and you lose the client and that's a bummer. But I don't think we'd expect to see that number move markedly in such a way that it would impact drastically the projections we put out now. So, long way of saying, look, there's a lot of variability. We do our best to predict it. We made assumptions based on what we knew looking back and what we feel going forward and feel good about that.
David Grossman: All right, got it. Thanks very much for that. And just about the 1Q guidance, can you help us understand? It looks like we're going to be down sequentially. Is there some anomaly there? I know seasonally, that's not typically the case. So, is that just kind of consistent with everything we've been saying? Or is there some anomaly in there that's taken the revenue down sequentially?
Rick Booth: There's a seasonality effect, particularly in the small amount of professional services that we do have in our model. We completed a number of significant analytics projects for large pharma companies in the fourth quarter and we don't expect that to recur in the first quarter. That's a pretty consistent year-over-year trend within the Analytical Wizards business that we acquired last year.
David Grossman: Got it, okay. And then just one last thing, Rick. I didn't catch the cRPO number that you gave. Do you mind repeating that?
Rick Booth: Yes. The cRPO number was -- let's see. Yes, cRPO, $183.5 million, up 18% year-over-year.
David Grossman: Got it. All right, great. Thanks again.
Rick Booth: Thank you.
Operator: Thank you. Our next question comes from the line of Craig Hettenbach from Morgan Stanley. Please go ahead.
Craig Hettenbach: Yes, thanks. Question for Robert. Just you talked about as some of the sales cycles have lengthened out, can you comment on if deals aren't closing in the quarter, are you seeing them in the subsequent quarter? And as part of that, you also mentioned sales is adapting to this environment. Anything in particular that you're finding successful in terms of their ability to manage through some of the macro?
Robert Musslewhite: Yes, thanks for the question, Craig. On your first question, I think -- sorry, I know I forgot the first part of your question. I was about to answer the second part. Remind me the first part, Craig?
Craig Hettenbach: Yes, just the deals that have taken longer. Are they--
Robert Musslewhite: Yes, yes, the push deals. What salespeople always tell you is when it pushes, it's coming in next quarter and I think experience would show that sometimes that doesn't happen. So, when things push, we do get a lot of them back and we actually track a push deals list each month and each quarter that goes forward and then we re-project a month that it's supposed to close and we've done pretty well on those. So, what we've kind of seen is a lengthening of the sales cycle but still being able to pull some of those through when the decision really is a push. I think what ends up happening sometimes is you kind of hear back from your team that it's a push, but a push is a nice way of a client saying no, and so some of those don't come through. But in general, we have pipelines bigger than they've ever been. We do really look at those and apply consistent standards and take it out of the pipeline if it's not going to be something that closes. And even with that pipeline cleansing, we still feel really good. So, that's why we know we have the confidence that with a little bit of macro improvement, I'd expect the cycles to shorten again and to really start pulling that stuff through at the pace we had seen in the past before some of this macro impact. On the sales improvements, these are tactics that as the environment change, we've really pushed our teams to adopt across the board. And I'd highlight a couple of them. One is just deeper account planning. And that's been really helpful and we've seen it yield a lot of benefits where we've started to do a better job of, take life sciences, where we have a lot of different solutions for clients. The team that works on selling commercial data, working with the team that is talking to the client about analytics, working with the team who's talking to medical affairs about expert data, working much more closely together and coordinating on the opportunity to really expand those relationships. The other way it's helped is to really create a better map of who are the influencers for any given decision and be sure that we're getting ahead of talking to those clients about the ways we can help them. So, if down the line, there's a budget mandate or a CFO that steps in with something, we have a broader bench of support and potentially a broader bench of support across the organization even in other therapeutic areas or other departments. So, that's something that I think in this environment is going to be really helpful to us. The other thing that we've done a lot of is continue to verticalize. And by that, I mean really organizing our commercial efforts and our expertise that supports our commercial teams around each vertical. And what that lets us do is speak more the language of our clients. We've always done that really well and diversified because that's kind of the history of the company. But as we've gotten bigger in provider and life sciences, those are two places where we've really gotten much better at speaking about the use cases that we can generate. And we have a lot of the use cases based on acquisitions and new products that we've built over the last couple of years. And so really getting the teams able to articulate the value and the ROI of these solutions and how that fits into our clients and can meaningfully inflect their business and that's going to help. So, in an environment like this, people want to know they're going to get ROI. They want to understand it on their terms. They want to hear confidence from our team about the value we're going to deliver and I think that will really help. Sorry for the long answer, but at the end of the day, when people start wanting to invest in growth and make the decision that they want to put dollars behind growing their business, we're still very favorably positioned because we can accelerate that and deliver a lot of value. So, again, I'd love a little help from the macro environment. We're not assuming it but when and if it comes, it will certainly speed things back up on the cycle front.
Craig Hettenbach: Got it. And then just my second question a year into Analytical Wizards. Just would like to hear how it's performing versus the initial expectations. And I know Monocl was a deal that performed very well. And so if there's any similarities or differences between how those deals have kind of progressed.
Robert Musslewhite: Yes, I think both just a quick refresher, both have been -- they're pretty similar types of acquisitions. They each brought a new capability. Monocl brought incredible key opinion leader and expert data that we could put into our broader Atlas Dataset and use across the business and then our commercial teams could help accelerate the sale of Monocl products. Analytical Wizards is really the same thing. They brought us a rapid, easily configurable analytic capability that's data-agnostic, so it doesn't have to require a client to buy Definitive data. Of course, we'd like them to, but it lets us serve clients that might not have our data yet, and brought a really strong analytical capability, particularly in biopharma. And that's something that our biopharma teams can take out and help accelerate adoption and their team can use Definitive data, for example, when we built Passport Express. That was Definitive data loaded on to Wizards Analytics and prepackaged to sell. And that's an awesome way that we created synergy with them early in the process. So, I'm really pleased with how both have played out. I think we believe life sciences is a huge market for us. The TAM there is huge. The opportunity is huge. We're growing very well there, even despite some of the macro trends in that market. If we look ahead five, six, seven years, it's going to be a huge market for us. And both those acquisitions are really meaningful building blocks to the solutions that we'll be able to bring to that space.
Craig Hettenbach: Got it. Thank you.
Robert Musslewhite: Thanks Craig.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Kash Rangan from Goldman Sachs. Please go ahead.
Jacob Staffel: Hi guys. This is Jacob Staffel on for Kash Rangan. Thank you for taking my question. I wanted to touch on the conversations that have been had around the Atlas Dataset thus far, namely, we are in a time where we are seeing customers be more disciplined on their spending. And so what's been the initial reception? I know it's only been three weeks or so, but any color we could get there would be really, really appreciated.
Robert Musslewhite: It's been great. It's very early, obviously. It's something that we're super excited about. It gives us much more complete coverage of some really important areas and it unifies our data under the Atlas umbrella, which gives us a really exciting way to present all the strength of the data and the uniqueness and the distinctiveness of the data back to clients. So, that's been awesome. It just lets us refresh the conversations. And I think it gives us a way to remind people just how unique and differentiated our Reference & Affiliations data is. We mentioned on the study, we're number one or two for every use case we care about with that. And I think widely recognizes if you want that those -- that kind of data, you need use cases that depend on it, you have to go to Definitive. So, I think, look, in three weeks, I'm not going to say all of a sudden, we have millions of dollars of sales just from the Atlas Dataset, but it's certainly been a conversation invigorator, and I think it will be something that's meaningful in terms of the value we deliver to clients across the year.
Jacob Staffel: Awesome. Thank you very much. No follow-up for me. Thanks guys.
Operator: Thank you. Our next question comes from the line of Ryan MacDonald from Needham. Please go ahead.
Matt Shea: Hey guys. This is Matt Shea on for Ryan. Wanted to follow-up on the deal cycle elongation. And curious if you guys are starting to see any consistency in that elongation, meaning if you're able to quantify how much longer those deal cycles have become. And then to the extent you're starting to see some consistency in the lengthening, how that consistency or ability to predict the new normal increases your confidence or visibility into the 2023 outlook?
Robert Musslewhite: Yes, it's a really good question. I think traditionally, we would have said kind of before the second half of last year, deal cycles were three to six months with more complex deals being on the longer side of that and smaller single-product deals being on the shorter end of that. It's hard to say what the actual cycle is on stuff that closes. It's probably extended by two to three months. But when you ask about consistency and looking forward, what I would say is that our forecasting has gotten a lot better around the sort of new environment and how long deals take to come in. So, I do feel like we have better visibility this year, entering the year kind of assuming the market, kind of taking the market as a given and incorporating that into our forecast. So, while we might have gone back to September and say we were surprised by a lot of things that pushed off, I'd say now, we do know things are going to push off. We're not surprised by it so at least that's progress. And what I'd hope that over time, and I mentioned earlier is that with a little bit of benefit from the macro, we have these large pipelines and you do have deals that are genuinely pushing. Once people decide to spend and put the budgets, we can start getting those sales cycles back down to levels we saw in the past and that would obviously accelerate ARR this year, if and when that happens.
Matt Shea: Okay, got it. That is helpful. And then I wanted to touch on something that Jason mentioned, where you saw in your survey that half of life science organizations think that they're spending too much time matching data across data sets that's something you can help with. I'm curious relative to that demand, what modules you have today that can meet that demand head on, whether you would need to leverage some professional services to assist with that? And then to the extent that there's some gaps in completing that data matching strategy for those life science companies, how that might guide some of your investments over the next year or two to capitalize on that demand?
Jason Krantz: Yes, hi, It's Jason. Great question. So first of all, as you think about the Atlas Dataset, which we just rolled out, the whole point of that is to be able to provide an enterprise-wide view that's really the source of truth for these clients. By bringing together our Reference & Affiliations data with our claims and prescription drug and expert data, that really solves a lot of problems for our clients versus them trying to mix and match from lots of different places. So, that is super important. And it also provides us the foundation to where we want to invest in the future. So, as we continue to bring in new data sets through internal development, we're about to roll in, for example, a digital opinion leader data into the Atlas Dataset, so we can really give our clients a sense of who are the influencers are online. And how is that important as they think about going to market with new drugs and therapies and medical devices? And then similarly, as we think about our M&A strategy, it's really about how do we continue to strengthen the Atlas Dataset and bring in more unique data sets to it. But then also how do we leverage that in new and unique ways for our clients, both through new capabilities like Analytical Wizards as well as internal development, where we're creating new use cases and new ways to allow our clients to solve as many business problems they can with our data. So, it's all related together and highly strategic in the way we're thinking about it.
Matt Shea: Awesome. Thanks guys.
Operator: Thank you. Our next question comes from the line of DJ Hynes from Canaccord Genuity. Please go ahead.
Ryan Shanahan: Hey guys. This is Ryan Shanahan on for DJ. Congratulations on the quarter and the year. So, given these tighter sales environment, have you noticed, I guess, through RFPs or just word on the street, I guess, greater price competition between less specialized competitors? And is this affecting your win rates at all?
Robert Musslewhite: That's a great question. And I'd say we haven't really seen any different pricing that we traditionally have seen. Obviously, everyone -- the discount to get a deal done. That's typical. Business customers always push for the best price but it hasn't really been a change in the pricing environment. That pricing environment has always had a little bit more competition at the sort of lower end, where people would be looking at substitutes that would be like just a list of people or telephone directories. If they're not that focused on health care, sometimes that's good enough for them. In general, people are focused on health care and succeeding in health care and growing in health care. They have to buy Definitive and so we don't end up getting price eroded for the type of clients that we want to bring in. So, no, that hasn't been a place that we've really seen any big change.
Ryan Shanahan: Okay, great. Thanks. Appreciate it.
Robert Musslewhite: Sure.
Operator: Thank you. Our next question comes from the line of Glen Santangelo from Jefferies. Please go ahead.
Glen Santangelo: Yes, thanks for taking my question. Hey Robert, I just had two. The first is on the enterprise client side. I mean, you grew almost 7% sequentially in the quarter from 3Q. And I was kind of curious if you can give us some color on the split between what percentage of that growth came from like new customers versus organic growth within your existing base, just sort of given all the incremental modules and offerings you now have on the platform. Just trying to get a better sense for where the growth is coming from?
Robert Musslewhite: Sorry. Thanks for the question. I'd say we saw both. I don't know -- I don't have the exact number on the split and I don't know if we normally disclose it. But I guess the best answer to your question is we had some very large new business wins that came in, in the quarter that went straight to enterprise. And then upsell. Upsell came in as expected and that generally results in kind of half the enterprise client growth through that as well, maybe a little bit more than half. So, I don't know the exact mix for you, but we had a healthy performance on both sides of that in terms of getting people up to enterprise.
Glen Santangelo: Okay, perfect. That's helpful color. Maybe if I could just follow up sort of on the 1Q commentary you made. You said sort of the conditions that you've seen in the second half have sort of continued maybe in the first -- at least into 2023. And last quarter when we spoke, I think the commentary seemed to suggest that sequentially through the third quarter, things kind of got maybe incrementally weaker. I was wondering if you can give us some maybe sequential commentary on how 4Q, and maybe so far, we have two-thirds of 1Q already done, how things have been trending? Because I think what we're all trying to get a sense for is maybe, have things sort of stabilized in the current environment as we try to assess either the conservatism or potential vulnerability in your 2023 revenue guidance, just kind of based on where we are now? Thanks.
Robert Musslewhite: Yes. Again, I hate to give you a math answer, but basically, Q4 looked a lot like Q3 just in terms of absolute performance. And so I guess you could say that Q3 was not a great quarter, Q4 was not a great quarter. But it wasn't a much worse quarter than Q3. It just wasn't a better quarter. I'm not going to comment on what we've seen so far this year. But in general, what we've modeled, we've modeled that, that Q4 -- Q3, Q4 performance continues through this year. That's what drives the model. And we don't have any reason right now to believe that, that's not the environment we're operating in. We certainly hope that the operating environment improves. But what it tells us is you now have another period of results. And so our assumption, as we've planned out this year, is that it lasts longer than we might have thought before. So, it's going to go through this year, and that's at least where we're looking at it right now.
Glen Santangelo: Okay. Thank you.
Robert Musslewhite: Sure.
Operator: Thank you. Our next question comes from the line of Brian Peterson from Raymond James. Please go ahead.
Brian Peterson: Hey gentlemen. Thanks for taking the question. And maybe another high level one on the macro in budgets. But as you went through 2022, I guess I'd just love to understand how budget trends progressed. I mean based on our work, it sounds like they've been down. But maybe as we go into 2023, they've been set. So, I guess I'm curious if in your customer conversations, I know maybe it wasn't the close that you guys wanted in the back half of the year. But are we kind of through the worst of it in? And maybe customers with budgets and everything are a little bit more ready to play offense when they were playing defense in 2022. So, I know it's a lot of questioning but any thoughts there? Thanks guys.
Robert Musslewhite: Sure. It's a really good line of questioning and we're hopeful that, that would be the case. We haven't assumed it coming into the year. The experience we had with budgets is they got very tight and, in many cases, did not open up. The hope was that, okay, maybe this year, budgets will get better. We haven't assumed that budgets are going to radically open up from what we saw at the end of last year. And I think that's a prudent assumption to make just because we haven't seen it. For every client that we got a deal closed at the end of the year, I saw another client that came in, was literally ready to sign and some got some spending mandate came in and said, we just can't do it now. We're going to have to reposition this for some time next year. The pace and a number of those that happened was just markedly different in the second half of the year than it was across the first half of the year or really the year before this one. I don't believe it's an environment that lasts forever. But right now, it feels like coming into the year, it felt like we were still in the middle of it. And remember, we do serve some sectors that we've seen have a little more financial stress right now. I mean, certainly, small biopharma, small life sciences is not -- there are a lot of companies that are really struggling there. So, they're going to scrutinize every dollar, and a lot of them are pulling back on growth investments. Providers -- a lot of segments of our provider vertical are having a tough go but right now, and you've seen the announcements. They're cutting a lot of spend. And so those are places that are just harder to get in or harder to upsell or just tend to be places where we don't always control the sort of budget environment that we're selling into. And you might have been talking to someone for three months and have a really good conversation and then the budget environment changes in the last hour. So, again, look, I'm hopeful that things turn the right direction and that we get a little relief on this, but we have not assumed that in our planning for this year.
Brian Peterson: Appreciate the color. Thank you.
Robert Musslewhite: Yes, thanks.
Operator: Thank you. Our next question comes from the line of Anne Samuel from JPMorgan. Please go ahead.
Anne Samuel: Hi, thanks for taking my question. This was maybe just a little bit of a follow-up on what you were just talking about. I was wondering if maybe you could talk about some of the differences between what you're seeing in the demand environment for life sciences versus provider, where the headwinds are more pronounced and maybe which one you expect to recover first?
Robert Musslewhite: Well, that's a good question. I guess I'll start with the end of your question, which is we haven't assumed any recovery in the plan that we've put out. So from an assuming and sort of looking forward, we've assumed that the environment we're in is the environment we're in, and we're going to function as best we can against that. In terms of just what we're seeing kind of life sciences versus provider, certainly, it's been more acute for us in the smaller life science, and that's been a strong point for us over the years. We have a great value proposition in that market. There's just a lot of financial strain there, where either really just come in with inability to continue to spend external money or at least just heavy budget scrutiny and both of those impact our ability to grow with those clients. Provider is a little different story. Providers tend to be okay over the long-term, not necessarily super high margin but usually not low margin either. I think at the end of last year was tough and there were a lot of things working against provider economics. I'd expect that market over time to be a great market for us. I just don't know when things will open back up. So, hopefully, that gives you as much color as I can at this point. I wish I could look forward and tell you that one is going to recover sooner than the other and that they're both going to recover really quickly. But that's, again, not what we have in our outlook right now.
Anne Samuel: Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Allen Lutz from Bank of America. Please go ahead.
Allen Lutz: Hi, thanks for taking the questions. I guess one for Rick. If we look at sort of the KPIs here, enterprise customers still growing, total customers still growing pretty nicely here, even though you've talked about how the macro is impacting the business. I guess to ask the sequential question another way, is there any way to size the contribution in 4Q from professional services? Or what's not going to repeat in 1Q? And then how should we think about growth of total customers, especially in the first quarter or first half of the year? Is that -- could that potentially dip? Just trying to kind of frame what's driving the sequential change in revenue from 4Q to 1Q? Thanks.
Rick Booth: Yes, there's several million-dollar anticipated difference between Q4 professional services and Q1 professional services, which is normal and customary for the Analytical Wizards project work that they still do. Overall, professional services are only about 2% of our revenue but they do tend to be back-end loaded. And thank you, by the way, for acknowledging the underlying strength of the business.
Allen Lutz: No problem. And then one question for Jason. We've been trying to figure out, as I'm sure you have, just sort of life sciences when spend is going to inflect, and there's a lot of different data points that suggest that maybe it has. Some are saying that it hasn't. I guess, can you talk when exactly did life sciences start to pull back? And is there any kind of historical reference point that you can point to? I know the business was founded sort of after the last Great Recession. But is there anything historically that you can point to where you've seen something like this before and how long it took before things started to pick up? Thanks.
Robert Musslewhite: Yes, it's a good question. Jason. Go for it, Jason.
Jason Krantz: It's always hard to say when exactly things are going to turn around. I guess what I would comment on is, as you think about the long-term for this business overall, all of the amazing tailwinds that has really led to the extraordinary growth over the last 12 years still exists. There's an explosion of health care data that's continuing. This is a market that's incredibly complex to sell into and only getting more complicated over time. It's highly interconnected and it's so different than any other market. And there's continued rapid changes around -- for life sciences about how drugs are being reimbursed and about finding underdiagnosed patients for extremely rare diseases. So, all of those great tailwinds still exist. And long-term, those are going to drive really great continued growth and great underpinnings for this company. When that happens, we'll wait and see. But in the meantime, we're building this business and innovating in ways that are going to continue to drive long-term sustainable growth. So, we're in a great position. As we've talked about many times, we have growth and profitability, and that allows -- that affords us the opportunity to continue to invest when others can't. So, we'll strengthen our position during this time and when it turns around, we'll take advantage of it.
Allen Lutz: Great. Thank you, both.
Robert Musslewhite: Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the conference over to Robert Musslewhite, Chief Executive Officer, for closing comments.
Robert Musslewhite: Yes. Thank you all for the time tonight. We always appreciate it. We look forward to circling back with all of you and with our shareholders over the next several months and look forward to that. Thank you again for your time tonight and the questions. Bye, bye.
Operator: Thank you. The conference of Definitive Healthcare has now concluded. Thank you for your participation. You may now disconnect your lines.